Operator: Thank you for standing by and welcome to the Syrah Resources Q4 Quarterly Report Update. All participants are in a listen-only mode. [Operator Instructions]. I would now like to hand the conference over to Shaun Verner, Managing Director and CEO. Please go ahead.
Shaun Verner: Thank you for joining the call. With me this morning are Stephen Wells, our Chief Financial Officer; and Viren Hira, our GM of Business Development and Investor Relations. We will reference some of the slides released along with the report on today's call. The final quarter of 2024, saw both continuing EV industry growth, but significant uncertainties ahead of the global lithium-ion battery, anode material, and graphite markets. Chinese dominance of sales growth and EV penetration continued, but policy and commercial uncertainty in the major ex-China markets of the U.S. and Europe is evident, as measures being taken by both manufacturers and governments have major implications for the evolution of the industry. The global markets for EVs and their input cell and processed material components, are being buffeted by a series of high-impact policy decisions, and commercial positioning across China, the U.S. and the EU. Syrah's operating position was severely challenged in the final quarter with Balama impacted by ongoing protest disruption, and the Mozambique national election impacts, and Vidalia making progress towards qualification, but still incurring costs awaiting the completion of qualification processes and commercial sales. Continued negative working capital was therefore evident. At the same time, however, major progress on funding support, was achieved with the disbursement under the DFC loan, and ongoing interaction with both the DFC and DOE regarding external impacts on the company and their implications for the loans in place. In light of international policy and market volatility, and our challenging operating and cash flow position, Syrah's strategy into 2025 is simply to drive all focus towards resumption of production and sales of natural graphite from Balama, and qualification and sales of anode material from Vidalia, whilst minimizing cost and cash burn. Our development progress and production readiness, beyond others in the ex-China integrated anode material and input feedstock markets continues to extend, but production and sales volumes are critical, to ensuring we can take advantage of market and policy conditions as they evolve. So turning to Slide 5, and the overview of the quarter. There was no production at Balama due to protracted protest actions at site and the impacts of nationwide unrest related to the Mozambique national elections, and I'll come back to this in a moment. Syrah declared force majeure at Balama as a result of this situation. There was lower natural graphite sales of 9,000 tonnes in total from inventory, with a significantly higher proportion of fines in the sales mix, and low course flake inventory available. At the end of the quarter, most inventory had been depleted with only 2,000 tonnes remaining in Mozambique. Production at Vidalia was undertaken only for qualification purposes, with ramp-up timing awaiting certainty on commercial sales in order that we minimize operating costs and working capital. We made continued strong progress in Vidalia on anode material technical qualification processes with customers and continued commercial progress in further offtakes in line with policy developments. Vidalia anode material sales are expected this year, with the timing dependent on qualification progress, U.S. government policy clarification, competing tariffed volumes of Chinese anode material supply to North America and finalized customer strategies. An FID on Vidalia's expansion to 45,000 tonnes of production capacity is awaiting Vidalia sales in Phase 2 and is dependent on customer and financing commitments, noting the award of a US$165 million Inflation Reduction Act Section 48C tax credit toward capital for this project post quarter end. We're highly focused on progressing qualification and further offtakes as quickly as possible to facilitate expansion. And importantly, Syrah achieved the Initiative for Responsible Mining Assurance, or IRMA 50 level of performance for Balama, the first graphite producer globally, to achieve this milestone and a major recognition of Syrah's sustainability credentials. The company had a quarter-end cash balance of US$87 million including US$58 million restricted cash and Steve will talk further on this shortly. And lastly, significant government policy evolution continued through the quarter including U.S. Department of Commerce and U.S. International Trade Commission investigations, into imports of graphite anode material products from China and their prices and volumes, further review and definition around the foreign entity of concern requirements in the U.S. and China implemented permanent license control requirements on graphite exports. So let me begin with the situation, and the way forward at Balama. Just prior to the end of Q3, and the Mozambique national elections in October. We began to deal with a community protest action, which impacted our ability to freely access the Balama operating site, leading to later demobilization of most of our personnel. This protest action caused by a small number of landholders, is related to dissatisfaction with resettlement land and compensation, received prior to the commencement of the Balama operation. Over the course of development of the mine processing facility and support infrastructure, around 800 small farms were resettled through a detailed joint government and company process. The commencement of the protest coincided with the beginning of disruptions leading into and following the Mozambique national elections. And as a result, Syrah saw major challenges in accessing government assistance in resolution of the issues of Balama throughout the whole quarter. This led to ongoing production disruption, and consequently, there was no production volume from Balama in Q4. There's been no damage to equipment or infrastructure at the plant site with the protesters remaining outside the operating area. The confirmation of national election results in December 2024, and the inauguration of the new President earlier this month, has seen a reduction in country-wide disruption, the appointment of new representatives, and the return of focus to other issues at departmental level. And accordingly, post-quarter end, the government engagement and focus on resolution of the dispute, has increased significantly. The company is absolutely committed to resolution aligned with both the legal framework under the Balama mining agreement, and to utilizing the processes available to us, to ensure a long-term aligned solution. The government's supportive of seeing the operation back in production as soon as possible, and is working with the company towards resolution. Could any deficiency be demonstrated in either the historical resettlement processes or outcomes, the company remains very open to rectification through the appropriate mechanisms. Importantly, historical audits to-date and third-party independent reviews of our resettlement practices through various accreditation processes, including consultants for funding and as part of our IRMA audits have seen Syrah, as a positive and responsible developer operator. And a recent resettlement audit from a provincial government appointed committee demonstrated the company is complied, with all legislative requirements. As we continue to demonstrate through external review and through our quarterly sustainability reporting, including today's update, Syrah is dedicated to ongoing positive community, and country contribution in Mozambique and particularly in our eight local host communities. The highest level of employment in the district, significant investment in education, health, training, and infrastructure, as well as promotion of sustainable income generation programs and agriculture across the community, the company has already made a major contribution to development, and we're committed to ensuring that this benefit continues to flow and is fairly distributed. We are hopeful that resolution of the issues impacting Balama's operation will be achieved shortly, facilitating resumption of maintenance and inspections in readiness for production to recommence, and all efforts are going towards ensuring this is the case. Turning now to Slide 6, I'll hand over to Steve to talk through the current funding position, and interactions with our lenders, which provides the buffer to navigate the return to Balama operations and commercial sales from Vidalia. Steve?
Stephen Wells: Thanks, Shaun. As mentioned, turning to Slide 6, this outlines our funding position at the end of the year, which put simply represents a combination of unrestricted cash, and cash that is restricted under our loan arrangements with the DFC, following the closing of that loan in the quarter and the DOE, which has been the case for some time. Restricted cash under the loan arrangements are typical of these types of facilities, and split into cash that's available for funding each operation, and reserves for typical lender protections. These splits are highlighted in the right-hand column of this page. As you can see from the chart, at the end of the year, we had a total of $87 million in total cash, with $30 million of that unrestricted cash. As at the end of the year, that included $20 million of cash from the disbursement of the DFC loan that, was to be distributed from our Mozambique operating entity to support corporate expenses. This internal distribution was completed early this month, and post-quarter end. Clearly, the key funding event through the quarter was the closing and funding of the DFC loan, a significant effort from all concerned, and funded through the challenging operating conditions at Balama, reflecting recognition of the importance of Balama to the graphite supply chain. From a uses of cash perspective, there was $19 million of net cash outflow through the quarter, with $8 million relating to Balama, $6 million relating to Vidalia, and $5 million relating to corporate expenses. As mentioned, cash burn is being minimized at Vidalia, pending certainty of sales timing following qualification, and at Balama, we are below our fixed cost targets, noting revenue from sales from inventory offsetting the cash outflow. The impacts of protest actions at Balama resulted in certain events of default being triggered under the DOE and DFC loans, although there have been no payment defaults. Both counterparties recognized it, as a challenging period in Mozambique more broadly, and undertook significant diligence on the Syrah Group, and extensive diligence by DFC on our Mozambique operation, including our community engagements. The DFC also closed and funded the loan while the protests were impacting Balama, and following the Mozambique election, so the situation was not new to them. The DFC have provided a conditional waiver for the events of default under that loan, and we are continuing to work closely with them, as well as the DOE. We announced following the end of the quarter that Syrah had been successful in its application, for a tax credit relating to the further expansion of Vidalia to 45,000 tonnes per annum, issued under the 48C program. Assessing the tax credit requires the achievement of certain milestones over the next four years, but the key benefits from Syrah's perspective are twofold. Firstly, further demonstration of the importance of the Louisiana facility, to an independent supply chain in the U.S. And secondly, possible monetization of the tax credit in our funding strategy for the expansion of Vidalia. I'll now pass you back to Shaun.
Shaun Verner: Thanks, Steve. And moving to Slide 8 through to Slide 14, and the current market conditions, and starting on Slide 8. China's anode production growth has roughly tracked against global EV sales, as you'd expect, given its dominance in lithium-ion battery demand. In monthly, China anode production has grown over five times over the past five years. With the fourth quarter EV sales up 35% year-on-year, China saw domestic anode material production primarily in artificial graphite increase 33% year-on-year in Q4. With much of the Chinese anode material capacity expansion enjoying subsidized or beneficial land, power, funding, tax, employment, or other Chinese government policy assistance at local, provincial, and national levels, brutal competition is seeing low utilization of new capacity and pricing in many instances below cost, with an increasing number of Chinese producers in significant financial difficulty. As the two right-hand side charts on Slide 9 demonstrate, this situation has spilled over into the natural graphite feedstock market, where prices have declined more than 50% over the past two years. And Chinese seasonal domestic natural graphite production has been relatively constant, despite the massive anode production growth, given that artificial capacity has dominated the Chinese domestic market. On Slide 10, after the imposition of export license controls, on graphite and anode from China in late 2023, and the recent confirmation of those requirements being made permanent, the major Chinese producers of processed spherical graphite, and anode material have been able to reestablish a consistent export flow. The particular note in the fourth quarter, though, is the export of purified spherical graphite to Indonesia, demonstrating that the new BTR capacity has not yet achieved its full upstream processing capability, requiring semi-finished product from China to achieve anode material exports. Notably, such a process cannot be foreign entity of concern compliant for the U.S. With competition so brutal in the China domestic markets, exporters have been willing to see lower prices, to maintain offshore market share and margin generation, counteract loss-making conditions at home. And customers' ex-China have ultimately made the economically rational, but strategically dangerous decision to essentially go all in on China's supply, awaiting alternative options. Slide 11 shows the significant price decline over the past two years of FOB China exports of spherical graphite and anode material. With particular relevance for the investigation of export volumes and pricing currently underway, by the U.S. International Trade Commission and Department of Commerce, that Steve will talk more about shortly. On Slide 12, the recent volatility in North American EV sales, and some of the strategic decisions taken by OEMs and battery manufacturers are evident. GM, Ford and Toyota have announced moderation of their EV deployment timing objectives, and the resultant demand flow-through, is impacting expected demand growth rates, for cells and battery input materials. Importantly, there are two positive demand factors still very evident. Firstly, expected EV demand remains attractive, albeit at somewhat moderated rates, compared to the previous estimates. And secondly, the need for diversification in anode material supply, the U.S. domestic cell production away from China-controlled entities, is extremely important to battery manufacturers and OEMs, and beneficial for Syrah. Both upstream, with the supply of Balama product into new anode materials outside China, new anode material facilities outside China, and downstream for the growth of the Vidalia's capacity. Turning to government policy on Slides 13 and 14, particularly in the U.S., I'll hand back to Steve for some comments around the change of administration, and the investigation into China anode material supply by the U.S. authorities.
Stephen Wells: Thanks, Shaun. The geopolitical policy and resultant commercial positions, of our active anode material customers and governments, has been in flux through the second half of 2024, with the continuing policy evolution in China. The final decisions of the Biden administration, and the transition to changes foreshadowed by the new Trump administration. Syrah believes that many of its target customers, are awaiting to assess changes to the transition rule for non-foreign entity of concerned graphite sourcing under Section 30D via Inflation Reduction Act, by executive action of the Trump administration, changes to Section 30D consumer tax credits by executive action via Congress and tariff implementations, before they progress AAM Offtake agreements. The Trump administration released executive orders on 20th of January 2025, stating a policy of supporting domestic critical minerals industry, and stockpiling of critical minerals. It is not yet clear, which commodities will be supported, nor what changes, if any, may come to existing programs. Other policy changes included the intended removal of the EV mandate, which may have impacts for various targets and subsidies, and the intent to pursue and review both new allocations and disbursements under existing grants, and loans for some non-aligned U.S. government funding appropriated under the IRA. Syrah is monitoring all these developments, as well as the progress of the recently announced antidumping and countervailing duties, or AD/CVD, investigation by the U.S. Department of Commerce, and U.S. International Trade Commission. This investigation seeks to understand the extent and impacts of unfair prices of natural graphite, and synthetic graphite active anode material products, imported to the United States from China, and assessing whether the U.S. domestic graphite AAM industry has been harmed by Chinese government subsidy and supplier actions. The ICC's preliminary determination - preliminary hearing, rather was held on 8th of January this year, and the commission is expected to issue a preliminary determination on 31st of January, indicating whether or not China imports have harmed the domestic industry, before additional work is then undertaken, to assess the degree of harm and how that can be addressed. If the AD/CVD investigation proves conclusive, it may result in additional tariffs, or other requirements on China graphite active anode material products, imported to the United States. Without a doubt, the clear geopolitical implication is that China's current and intended further domination of the EV, battery and battery input material markets globally, is being challenged by U.S. policy, both from the prior and new administrations. And I'll now hand you back to Shaun.
Shaun Verner: Thanks, Steve. The implications there of market conditions for anode material outside China and the evolution of China and U.S. government policy means that U.S. consumers of anode material must seek to diversify their sourcing to provide alternative options away from China-dominated supply, and Syrah is seeing greater commercial interest in current and future supply than we have before. Finally, turning to operations at Vidalia, where production related during the quarter only to anode material qualification processes, with our ramp-up timing for the Vidalia operation awaiting greater certainty on commercial sales, and the completion of qualification processes. In the meantime, we're seeking to minimize our operating costs and working capital, and although it's not visible, we are making continued strong progress at Vidalia through the technical qualification processes, for our anode material products with customers. These processes are long and there are performance, total quality management and commercial aspects to the processes. We expect sales to commence later this year, but cannot yet be specific on the timing. Influencing factors include the completion of qualification, U.S. government policy and foreign entity of concern clarification, competing tariffed volumes of Chinese anode material supply to North America and customer purchasing strategies, as well as potential outcomes of the AD/CVD investigation. Although the duration of the qualification processes have been frustrating, and have led to a working capital draw, we take some comfort in the fact that others following must work through the same processes, and that the policy and market settings in the U.S. are increasingly positive, not just for our current Vidalia plant, but as a base for future expansion. As we commence 2025, the challenging baseline we start from, as we seek to restart Balama and complete processes for commercial sales from Vidalia, do highlight the potential for upside performance for the company throughout the year. We have the best upstream asset in the industry and are seeking to diversify our sales book into a growing ex-China market. This, integrated with Vidalia, gives us a sustainability, and cost position for our operations that's fundamentally better, than alternative ex-China options. Combined with the commercial and policy catalysts, as well as the potential of underlying market growth, Syrah's unique position as the only fully - vertically integrated operating entity in natural graphite anode material outside China will deliver value. Thank you. We'll now move to Q&A.
Operator: Thank you. [Operator Instructions] The first question today comes from Mark Fichera from Foster Stockbroking. Please go ahead.
Mark Fichera: Yes, hi Shaun. Just a couple of questions. Firstly, on the sales from Balama during the quarter, given that 99% of that was fines and you mentioned there were low sales to China, could we assume that that went to BTR in Indonesia? Or most of it...?
Shaun Verner: Sorry, Mark. The sales mix was largely outside China through the quarter, so fines is also sold to industrial customers around the world, so it is a mix of materials to different destinations.
Mark Fichera: Right. Okay. So in terms of - yes, I guess in terms BTR being a customer ongoing in terms of obviously, you sold material earlier in the 2024 year and now with the ramp-up of their plant. I was just wondering if you've had any sales there, if you could comment on that?
Shaun Verner: Yes. As I mentioned during the call, there was export of purified spherical graphite from China to Indonesia, which indicates that BTR have been consuming that material, and that there's been some delay in the ramp-up of their upstream natural graphite processing. Something - certainly something that we expect to see demand from in 2025, but that's all I can say on that at this point.
Mark Fichera: And just on Mozambique, you mentioned how since the inauguration, and appointment of ministers that you've increased progress in terms of trying to resolve Balama, what's some of the progress that you've had to-date? Are you engaging with ministers more relevant to the situation there versus previously when, I think, you didn't have much contact during the election disruption? Yes. Just wondering what significant steps are being made to get a resolution there?
Shaun Verner: Yes. So I split the answer into two parts. Obviously, outgoing ministerial and other government appointments through the uncertainty of the election period, and the extended time it took for that to be resolved at a national level, meant that interaction and support was extremely difficult, through the quarter. But there was also a very strong focus at, secondly, at a provincial level and local level. Through the nationwide disruption, to ensure safety and security in capital cities and/or in the major cities. And there was less available allocation of government resources, to assist us with the - on the ground interaction with community members, which is required, because the resettlement processes were a joint government and company process historically. So unfortunately, during that period, we just didn't have access and have the resources available from the government side, to progress that series of interactions. That has certainly changed post quarter end, and the interaction at both the national level and at the provincial and local levels, has increased significantly. So we are making good progress. As I said during the call, we're hopeful that we can get resolution around that shortly, and get resolution in a way that is permanent and aligned, between ourselves and those protesters.
Mark Fichera: Okay. So when you say shortly, the expectation would be, I guess, prior to the quarter end?
Shaun Verner: Yes. I mean, we're obviously targeting that as soon as possible, Mark, and we want to see the operation back in production, as soon as possible and clearly targeting trying to do that through this quarter. But we're just not in a position, to be able to put a definitive timeline on it.
Mark Fichera: Sure. Thanks. That's it for me.
Shaun Verner: Thanks, Mark.
Operator: Thank you. [Operator Instructions] The next question comes from Dim Ariyasinghe from UBS. Please go ahead.
Dim Ariyasinghe: Thanks guys and apologies if this had already been covered off. I just joined the call. It sounds like the Mozambique situation is, I guess, taking a positive step, although timelines still may be uncertain. Can we maybe just talk about the Vidalia then? And can you just remind us the inventory in Vidalia and whether, I guess, more importantly, the current outage at Balama could impact the 2025 ramp-up of Vidalia?
Shaun Verner: Yes. Thanks, Dim. Yes, we have significant inventory of input feedstock in the U.S. for the Vidalia operation, above 8,000 tonnes of product. So we certainly don't see any near-term interruption to potential ramp-up based on the availability of raw material. So there's a significant base there for us to work from, and it's not a major concern from the perspective of Vidalia operations at the moment.
Dim Ariyasinghe: Okay. And then just on - I'm just going back to Balama though, now that $4 million a month of C1 cost - just reading through the release, is below $4 mill, is there anything else you can take out, while you're effectively on care and maintenance, I guess?
Shaun Verner: Yes, I mean, with the disruption at the moment, there's clearly a demobilization of personnel from site, there's a reduction in contractor payments, et cetera. And we continue to look at our labor position in light of our expectations around resolution, but we're not looking to significantly further reduce that unless there is, it becomes clear that there's some inability to resolve the situation, which is not our expectation.
Dim Ariyasinghe: Yes. Okay, cool. Okay. Thanks.
Shaun Verner: Thanks, Dim.
Operator: Thank you. At this time, we're showing no further questions. That does conclude the conference for today. Thank you for participating. You may now disconnect.